Operator: Welcome to the Shenandoah Telecommunications first quarter of 2010 earning conference call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Ms. Adele Skolits, CFO. Please go ahead ma’am.
Adele Skolits: Good morning and thank you for joining us. The purpose of today’s call is to review Shentel’s results for the first quarter ended March 31st, 2010. Our results were announced in a press release distributed yesterday evening and the presentation we'll be reviewing is included on our website at www.shentel.com. Please note that a replay of the call will be made available later today. The details were set forth in the press release announcing this call. Today's call will not address any future impacts of JetBroadband acquisition we expect to close late this year. As I am sure most of you recall, we held the conference call to discuss those on April 19th, shortly after we announce the agreement. The slides and audio from that presentation are available on our website. With us on the call today are Christopher French, our President and Chief Executive Officer and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks we will conduct a question-and-answer session. I’ll begin with slide two of the presentation. While we don’t provide guidance with respect to specific future financial results, we caution that this call may contain forward-looking statements, which involve a number of known and unknown risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you are strongly encouraged to review. You are cautioned not to place undue reliance on these forward-looking statements. Except as required by law we undertake no obligation to publicly update or revise any forward-looking statements. Also, in an effort to provide useful information to investors, we note on slide three that our comments today include non-GAAP financial measures. Details on these measures including why we use them and reconciliations to the most comparable GAAP measures are included in this presentation. I’ll turn the call over to Chris now.
Christopher French: Good morning, we appreciate you being able to join us today. We are very pleased with our operating results during the first quarter of 2010. While economic conditions remained weak, we were able to generate customer and revenue growth in each of our operating segments. We’ve completed system upgrades in many of our acquired cable markets and started to rollout voice services in a limited number of these markets. As a result, we once again had significant gains and customer additions for the quarter. These efforts are positioning our company to generate future growth and earnings. As you can see on slide five, on a consolidated basis we are reporting net income of $6.8 million for the quarter, compared to a net loss of $4.2 million from the first quarter of 2009. Net income from continuing operations was $6.6 million for the quarter as compared to $6.2 million in the first quarter of 2009, an increase of 7%. Included in this year’s first quarter was a $1.3 million aftertax loss from the cable TV segment which compares to a loss of $600,000 for the first quarter of 2009. We expected to incur these losses while we’re rebuilding the CATV networks, launching news services and incurring cost to expand the customer base. This in turn should create long-term value as we began to grow revenues and profits. On slide six, we've listed our progress in the wireless segment of the business. Wireless PCS customers are up 5% from a year ago and net adds are up 7% in the first quarter of 2010 over the first quarter of 2009. Continued growth was helped by churn of 1.91% relative to 1.99% for the fourth quarter of 2009. Our wireless CapEx spending has tapered off since we completed the significant initiatives we had underway to expand high speed data capability and to enhance coverage mainly in our central Pennsylvania markets. Slide seven, shows progress in other areas of our business, upgrades to the acquired cable systems continued at a good pace with 68% of those markets now upgraded to 2A capability and now offering high speed data and other premium video services. We now have voice services available to nearly 6400 of the homes passed outside Shenandoah county with additional systems scheduled to receive these services in the coming months. Our wireline segment now offers DSL service to all the customers served by the North River network we acquired last November. This service has been well received in that market and continues to be in demand in our legacy area. In total our DSL customers grew by 5% in the first quarter of 2010. Although frustrated with the slow progress, we are continuing to work towards the sale of our converged services business. This process continues to be delayed due to challenges faced by buyers seeking funding in difficult economic times. However, we still have potential buyers actively working to obtain funding and we remain hopeful that the sale can be executed in the next quarter. I will now turn the call back to Adele to review our financial results in more detail.
Adele Skolits: Thank you, Chris. I will begin on slide nine. As Chris mentioned, we are pleased with our first quarter results. For Q1 '10 earnings per share from continuing operations were $0.28 in comparison to $0.26 for Q1 '09. Results of the discontinued operations included earnings per share of $0.29 for Q1 '10 in comparison to a loss of $0.18 per share for Q1 '09. Moving on to slide 10, operating income before depreciation and amortization or OIBDA for Q1 '10 was '19.8 million or down $100,000 from Q1 09. The change in OIBDA results by segment is given on slide 11. An increase of 5% in average wireless customers that were Q1 '09 drove a $651,000 increase in wireless OIBDA. Three factors resulted in the decrease in OIBDA of $752,000 in the cable segment for the first quarter of 2010 relative to the first quarter of 2009. Improvements to the network to begin to operate triple play of voice, video and high speed data drove cost up. In addition, there were also significant customer acquisition costs associated with acquisition of new customers in the form of commissions, promotional discounts and installation costs. Finally some small non-core systems representing approximately 10% of the customer base were sold in December of 2009. Cash flows on a consolidated basis appear in slide 12, net cash from operations decreased by $5.2 million in Q1 '10 over Q1 '09 as a result of timing of the quarter end 2010 Sprint payment and the changes in the timing of vendor and tax payments. Capital spending of approximately $9.6 million was up $500,000 from the first quarter of 2009. Future capital spending will be lower than 2009 until we close on the acquisition of JetBroadband. No incremental borrowings were required in the first quarter of 2010 and delayed draw term loan and the existing revolver are more than adequate to support our operations until they are refinanced when we put in place our facility for the JetBroadband acquisition. As we have mentioned before, the IRS has approved the distribution of our defined benefit pension plan and distribution of its assets began in May and should be completed in the second quarter. When completed, we expect to record an incremental $3.4 million of expense related to terminating the plan and make a payment of $600,000 to fund the remaining liability. These numbers are as of the quarter ended March 31st, 2010 and could change slightly when the final calculation of the planned accounting is complete. At this time I will turn the call over to Earle to go into greater depth on some of the operating factors driving our results.
Earle MacKenzie: Thanks, Adele. Good morning everyone. Slide 14 shows the wireless PCS customer growth since December 31st, 2008. During the first quarter of 2010 we added 1789 customers, a 7% increase over the first quarter 2009. At March 31st, 2010 we had 224,526 PCS customers, an increased of over 5% from a year ago. The growth curve is slower than the past years, but we continue to build a high quality customer base. I will remind you that all of these customers are postpaid since we do not currently have a prepaid option. We anticipate being able to sell the Virgin Mobile and Boost brands on our CDMA network before the end of the second quarter. On slide 15, you can see that while gross adds are down from 15,248 to 14,516; we actually had more net additions in the first quarter of 2010 than we did in the same quarter last year. We’re very pleased that our churn decreased from 2.15% in the first quarter of 2009 to 1.91% this year. We continue to hold the line on credit standards and focus on local customer service. Slide 16 shows that our gross build data ARPU continues to grow resulting in an average of $20.54 per customer per month during the first quarter. This represents almost a 14% increase from the very healthy $17.99 we had in the first quarter of 2009. The decrease in total ARPU results primarily from a greater percent of our customers on rate plans with larger usage allotment and add a phones. The Sprint Nextel value proposition is clearly well received in our markets. Slide 17 provides you the reconciliation between our gross billed revenues and the net service revenues reflected in our financial statements. The improvement in bad debt and service credits from a year ago results in a 4% increase in net revenue from a 3% increase in gross billed revenue. We continue the trend of a significant number of our customers selecting the higher revenue plans is shown on slide 18. The any mobile, any time plans that allow customers to call any mobile customer on any network continues to differentiate spread with the value message compared to price for AT&T. We continue to sell a good cross section of phones. What is noteworthy is our industry leading level of data revenue when we sell a low percentage of smartphones and other carriers. Our distribution channels continue to do an excellent job of selling the right phone to match our customer’s need. Our aggressive wireless upgrade program started in 2007 is complete. Slide 19 shows the large number of cell sites we have added over the past two years along with EVDO sites to provide 3G coverage to 95% of our covered POPs. We added only five new sites in the first quarter of 2010. we have accomplished our goal of keeping ahead of capacity requirements in the busiest parts of our network significantly improving our coverage particularly in Pennsylvania and providing the most robust 3G coverage in our service area. The ongoing needs will be primarily success based focused on adding additional capacity. Moving to our Wireline segment on slide 20, you see that we continue to have modest access line losses. Our broadband penetration using DSL and our telecom footprint is now at 46% with the monthly broadband ARPU of $37.54. We continue to enhance our network to offer higher speeds with many of our customers now able to get 10 megs or more. The customers from our recent acquisition of North River Telephone are included in these numbers. We have completed the construction of the North River DSL Network, so we are able to offer DSL to all these customers. As a result, DSL customers grew by 492 in the first quarter of 2010 or 5%. Two thirds of the new DSL customers from our legacy telephone area and one third from our new North River market area. Significant efforts continue in our cable operations. We have owned the Rapid Cable Properties for 16 months and have upgraded 68% of these markets in the past nine months. We began rolling out voice services to several markets in late first quarter of 2010, we had our best quarter in cable RGUs as shown on slide 21. Slide 22, shows the evolution of our cable markets over the past 15 months. In December 2009, we sold several small systems covering approximately 8000 homes passed and approximately 1800 RGUs, mostly video customers. As mentioned, we have upgraded 68% of the homes passed in the acquired market. 77% including the homes passed Shenandoah County Available homes for voice services will increase rapidly and we expect to have all systems upgraded for all services by the third quarter of this year. My final slide, slide 23, breaks down the year-to-date and our current year capital expenditures we have to the balance for the year. Our spending including an expected $11.1 million to upgrade JetBroadband networks will centrally be equivalent to 2009. I'll now turn it back over to Adele.
Adele Skolits: This concludes our prepared remarks. Operator, would you know review the instructions for posing a question?
Operator: (Operators Instructions). And we will go first to Ric Prentiss with Raymond James
Ric Prentiss - Raymond James: Big news this morning with Sprint introducing their new rate plans. I appreciate Earle's comment that you guys will start selling Virgin and Boost CDMA before the end of the second quarter. I wanted to probe deeper on that. One, how will you start distributing that? Are you going to put it into your stores or are you looking at other stores? Start with that.
Earle MacKenzie: Yes, we will be selling in our own stores. We will be selling through our exclusive agents. There are already some agents in the area that were previously selling directly with Sprint. Those will roll under our distribution plan and we are going to actively add new agents that will focus just on the prepaid.
Ric Prentiss - Raymond James: How important do you think prepaid will be? Haven't had the opportunity in the past. In your markets, how successful have other prepaid operators been? And have you been waiting with bated breath to get it or is it just a nice to have or a need to have?
Earle MacKenzie: Well, I think we are very excited about getting it. We have always had a fairly high credit standard and so we do have customers who walk out the door because they don’t need our credit. This is going to be great to have an alternative to offer those customers. So, I think that it will have an impact right away and I think once the word on the new spread packages get into the marketplace I think that’s also going to enhance the traffic into our stores.
Ric Prentiss - Raymond James: And I assume you've had a chance of look through the plans a little bit. How do you think it will be positioned to divergent the 25 versus the 40 versus the 60. Where do you see the usage and demand in your markets being interested in it?
Earle MacKenzie: I think probably the middle of that is going to be very important price point for us. There will be I think could be a little bit of erosion from existing postpaid at the high end of that range but I think the middle of that range is a very good pricepoint compared to the current postpaid and I think offers great value to the customers.
Operator: Our next question comes from Barry Sine with CapStone Investments.
Barry Sine - CapStone Investments: I wanted to ask a couple questions on the Rapid Cable Properties. Before I do, could I just ask one follow-up on the prepaid plans? Could you compare your expected margins on selling prepaid with the existing postpaid business?
Earle MacKenzie: I expected the margins will be slightly less than they are in the postpaid primarily because churn being so high, you don’t have the length of customer but the kind of what offsets that is the fact that we are not going to have the equipment subsidies that we have in the postpaid, so the margins will be good, it will just probably be marginally lower than the ones we experienced in the postpaid.
Barry Sine - CapStone Investments: On cable. First of all you mentioned at the end of the year, you sold off a small number of properties. Could you give us the rationale what were you doing there, why did you sell those properties?
Earle MacKenzie: These were properties that were not adjacent, the majority of them were not adjacent to any other systems that we were upgrading. also the plant was in particularly poor condition and so the amount of money it would have taken us to upgrade those networks to be able to provide a triple play, really was not cost effective and so we looked at kind of a bundle of properties. Armstrong Utilities was the company that bought it from us, they had telephone operations in the areas. So it made a lot more sense for them to own and operate those cable systems.
Barry Sine - CapStone Investments: And if you could compare the progress that you have made to date in upgrading the Rapid properties, how is your plan progressing, vis-à-vis your initial capital expenditure, expectations, and also versus your timeline expectations, both to get them fully upgraded and then to get to market with a full triple play offering for customers?
Earle MacKenzie: As from a cost standpoint we are basically right on budget. Actually a little bit below what we expected to stand. The good news is that the outside plant in most cases has been in better shape than we expected. So we have spent all the dollars we expected to, we had planned to spend on the electronics, but the outside plant was marginally better and therefore we haven’t had to spend those dollars. As far as timing, we always expected that the winter months would be tough for us to do upgrades as you can see we did not add a lot of new homes past upgraded in the first quarter and only went from 64 to 68. But we have already started an aggressive program to continue and we’ve already upgraded several systems this month and continue in April and we will continue in May and June. So we are basically on target for where we thought we’ll be maybe 30 to 60 days behind. We didn’t quite get as many done before winter as we had hoped.
Barry Sine - CapStone Investments: And I think you said by the end of the third quarter, you expected to complete the network upgrade work. When will you be in the market with a full triple play video data as well as voice offering in all of those markets?
Earle MacKenzie: We have already launched voice in several of the markets at this point. As we get closer to the end of the third quarter, we expect that all systems will offer all three services by the beginning of the fourth quarter.
Barry Sine - CapStone Investments: And just turning to a comment that I think Adele made on one of the slides. You mentioned that with the additional debt you are going to take on, associated with the JetBroadband acquisition, that is going to bring down your cost of capital. Do you have an estimate of what your new cost of capital is going to be, Adele?
Adele Skolits: No, we don’t disclose that externally, but I don’t have to educate you on the effect. I'm sure Barry that the cost of equity is far greater than the cost of debt. We are running right now on a variable rate, 2.8% on our delayed draw term loan. We have negotiated a facility, but not closed on a facility, that would be LIBOR plus 3.5 starting out and its leveraged declines overtime. That rate would drop. So we feel very good about our ability to reduce the cost of capital by going with capital structures that involves more debt.
Barry Sine - CapStone Investments: Okay and then also if I could get your comment, there's news out of the Federal Communications Commission today. They are looking at changing the rules for broadband, for data services and perhaps introducing net neutrality requirements. How does that change your thinking, if at all, on what you've done in cable? The acquisitions and your planned capital spending?
Earle MacKenzie: Not knowing exactly what the FCC is going to plan, it's hard to have a definitive answer, but we are not concerned about net neutrality. We believe that, whether that is ultimately the law of the land or not, that really doesn’t change our opinion on the cable acquisitions.
Barry Sine - CapStone Investments: I just want to confirm a data point that you gave on slide 19. Total cell sites went from 419 to 481 during the course of the first quarter. Is that correct?
Earle MacKenzie: Year end 2009
Barry Sine - CapStone Investments: Yes, end 2009 so first quarter?
Earle MacKenzie: If you look at the bottom, the first two columns are 1231, 2008 and 331, 2009 and then you have 1231, 2009 and then 331, 2010 so it's actually over 15 months.
Operator: Our next question comes from Greg Burns with Sidoti & Company.
Greg Burns - Sidoti & Company: Could you give us the number of Virgin Mobile subscribers currently in your territory? And then I guess any potential magnitude of the payment, Sprint for these customers?
Christopher French: We are in the process of negotiating that. So at this point it will be premature for me to provide that to you but we hope to have those negotiations completed very soon and once we do we will be disclosing it.
Greg Burns - Sidoti & Company: Okay, the number of cells also?
Christopher French: Well I can tell you that there's approximately 50,000 Virgin mobile customers in our footprint today.
Greg Burns - Sidoti & Company: And Adele, OpEx was down about $1.7 million quarter over quarter. Could you just give a little color on what was driving that delta and how we should think about OpEx for the balance of the year?
Adele Skolits: Well, OpEx is continuing to go up in PCS to the extent that we bring new cell sites on and as we talked about before Greg, you have the effect of cell site, but you added the previous year being in place with the full year 2010 versus a partial year 2009. OpEx and cable continue to go up as we have more maintenance costs and more depreciation associated with those new cable systems and we continue to enhance the wireline networks and the incremental cost for the most part, they’re also associated with depreciation and the network.
Operator: Our next question comes from William Lauber with Sterling Capital Management.
William Lauber - Sterling Capital Management: With the JetBroadband acquisition, there’s a pretty big gap between the current penetration and the industry average. In your business case, are you guys assuming that you get up industry average or what's kind of expectations on that?
Earle MacKenzie: The answer is yes. We don’t see any reason why these properties can’t perform at the industry average. obviously, our desire and expectation is that we will beat the average, but there’s nothing unusual about these markets. if anything we probably have the advantage of a telephone competitor who is probably not nearly as focused as the telephone competitors are in the large markets.
Adele Skolits: And we have the advantage of not having any over builders, to speak off in those markets.
William Lauber - Sterling Capital Management: I would imagine kind of the timing of that, it would be heavily loaded, probably in the first couple of years or how should we think about that? Getting up to the industry average.
Earle MacKenzie: Well, it would probably not be in the first 12 months in particular because of the amount of effort that we are going to take in rebranding and we still have some upgrading to do there as we have announced, we will be spending $30 million plus and upgrading those systems over the first two years. So, I think you will see parts of the network where we can narrow that GAAP in the early years, but it will take us upgrading those systems to be able to offer a robust triple play before we can really match the industry numbers.
Adele Skolits: The good news about that is upgrading the electronics doesn’t take as long as upgrading the outside plan as we have to do with Rapid.
William Lauber - Sterling Capital Management: So it would be a function of doing the upgrades and I guess after you have the upgrades, you have your product. I'm trying to just kind of piece together like I would think about getting up to that speed.
Christopher French: I think it's going to take us two or three years well hopefully last but I think if you are looking at it realistically there is quite a gap between where they are and where we expect them to be. So, I think two or three years is not an unreasonable runway.
William Lauber - Sterling Capital Management: Don't take this the wrong way because we are in a profession where we are second-guessed all the time. But it seems to be kind of the sentiment in the market and weighing on the stock is that, I guess besides these two smaller acquisitions that you did recently the one, going back is the converged services which has turned out to be quite a disappointment. And then now you are taking on a big acquisition. Could you just Monday morning quarterback? You know, what went wrong with the NTC acquisition and why your investors should believe this, the bigger JetBroadband acquisition is a good move?
Christopher French: Trying to keep it brief, I mean when you look at our converged services business, the problem we had there were kind of twofold. number one, we were relying almost completely on a third party for our margins and the dish contracts that were in place when we bought the business changed dramatically when we went from primarily analog to a digital lineup. Our margins were very, very robust in the analog world and the digital world, the margins are not as healthy. The other thing is that we just didn’t get the scale in localities that we expected to get at the time when we bought the business, the cable companies in particular. We are not focused on MDUs, they became more focused on MDUs later in the period. and then third the SEC ruling that basically prevented any common carrier because we own the telephone company, we are a common carrier. You cannot have exclusive contracts on a retail side which also prevented us from growing the retail side of our business as quickly as we might have been able to previous to that. As far as the differences, I think there's a significant number of differences. Now we are looking at franchise, cabled areas where we are incumbent. We are competing against phone companies that do not focus on these service areas. I think we have shown in a very short period of time our ability to bring rapid properties up to par and also start growing customers on that very quickly and the other part that I think is going to really help us is our ability to leverage our fiber assets which we were not able to do in the converged services businesses.
Adele Skolits: I actually think the more valid comparison is, Earle pointed out is to the Rapid acquisition and the recent progress that we’ve made there rather than the NTC acquisition.
William Lauber - Sterling Capital Management: These recent acquisitions you are pretty much in your own backyard as opposed to far-flung places, is that it?
Christopher French: No. That’s part of it. Although part of NTC were close by. If you look at the margins on the properties that we are close by that we could leverage our fiber assets, the margins were very good where we couldn’t get the margins is where we were trying to plant new flags where we didn’t have infrastructure.
William Lauber - Sterling Capital Management: I had asked Adele in a conversation a few weeks ago, looking at the map from that acquisition, is there any one particular cable company that would kind of fill in the various areas there like in Blacksburg and some of the other areas that would go in? Is it just one cable company in those kind of areas or is there a multitude of cable companies looking out at potential acquisition candidates for you?
Earle MacKenzie: It’s a relatively fractured map, at this point there wouldn’t be a single acquisition or single company that we could talk to that would use your words fill in the gaps. But we will continue to work and if there are individual properties or groups that come on the market, we’ll look at them and see how they fit into our footprint. But obviously, anything that we could buy that’s adjacent would add tremendous value.
William Lauber - Sterling Capital Management: Who is the cable company in Blacksburg?
Earle MacKenzie: That's Comcast.
Operator: Thank you. And we do have a follow up question from Rick Prentiss with Raymond James.
Ric Prentiss - Raymond James: Sorry, I want to circle back to wireless for a second there. Sprint's putting a pretty significant emphasis on 4G with Clearwire. One in getting it built up, but also in selling Converge 3G, 4G devices. They are getting the evo this summer. What are your thoughts as far as now that you are bringing prepaid into the mix, bringing 4G into the mix and will you get the evo?
Christopher French: On 4G, actually Harrisburg and York, Pennsylvania were launched this. And we are selling 4G in our stores there. So it's really too early for me to have a indication of how that's going to go. We’re selling 3G, 4G cards and Sprint's selling elsewhere. As far the Evo, we anticipate that we will have access to that phone also although that hasn’t been finalized. But such it will be a 3G, 4G device. We see no reason that we won't be selling it as Sprint is in their stores. I think there’s a lot of buzz around it, we’re very excited about the potential even if all it does is drive traffic to the store, we think it could be a real plus for us. Since we’re at the edge of the Greater Philadelphia, 4G network, we are not sure we are going to see the same impact that we would if we were in the middle of large 4G island.
Ric Prentiss - Raymond James: Has Clear opened up any stores or are they just turned on the service?
Christopher French: To best of my knowledge they have opened up a single store and they signed up several agents. But they haven't made this kind of flash that they've made in major metropolitan areas.
Ric Prentiss - Raymond James: And then for Adele , just an accounting reporting questions, how will you treat prepaid? How will you treat 4G in kind of looking at the financials?
Adele Skolits: It all falls under the same relationship with Sprint, the payments, the expenses that we pay to Sprint may differ and certainly will defer from the 8 plus, 8.8% that we have now in terms of the management and service fee, dependant upon how they have structured that relationship with Clearwire and what have you and we don't have all the final details nailed down, but it will be accounted for in precisely the same manner that we do now net of Sprint fees in our service revenues.
Ric Prentiss - Raymond James: And how it will affect ARPUs because some of these will have different ARPUs versus what your report on?
Adele Skolits: It will certainly drive ARPUs down because on average as you know Rick, I know you are very well educated in that space, the ARPUs in this target market run generally about $40 per month and you know our growth right now is more like 55.
Christopher French: And Virgin mobile customers have been significantly lower than that. so the embedded base that we will be getting won't be at the $40 rate but I think when you look at incremental customers they will be at the 40 plus rate.
Ric Prentiss - Raymond James: So you guys won't really be separating out the customers or the ARPUs? It will still be this kind of TCS or wireless revenue and wireless subs and then an ARPU that kind of comes out of that then?
Christopher French: I think we’ll provide detail showing the prepaid and the postpaid so that you’ll be able to continue to track that, but as far as the accounting goes I think what Adele is saying is we will continue our netting the fees but we’ll provide enough detail for you to know the direction of both our lines of business.
Operator: Thank you and I’m showing no further questions at this time.
Adele Skolits: Thank you for participating. Just one point of clarification on slide 19, the number of cell sites that we had at the end of 2009 was 476, so we have added just six cell sites. Five since that time, so just see you know that. I would like to invite you to let me know if there are addition details you’d like to see on future calls. Rick in addition to this operation between and prepaid and postpaid. My contact information was provided on the press release. Thank you for participating, that concludes our call.
Operator: Ladies and gentlemen, thank you for participating in today’s program. This does conclude the call. You may all disconnect and everyone have a wonderful day.